Operator: Greetings and welcome to the Freshpet Inc. Fourth Quarter and Full Year 2016 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Katie Turner. Thank you, Ms. Turner. You may begin.
Katie Turner: Thank you. Good afternoon and welcome to Freshpet’s fourth quarter and full year 2016 earnings conference call and webcast. On today’s call are Billy Cyr, Chief Executive Officer; Dick Kassar, Chief Financial Officer; and Scott Morris, Chief Operating Officer will also be available for Q&A. Before I begin, please remember that during the course of this call, management may make forward-looking statements within the meanings of the federal securities laws. These statements are based on management’s current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Please refer to the company’s quarterly report on Form 10-K to be filed with the Securities and Exchange Commission and in the company’s press release issued today for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. To accompany management’s discussion, there are presentation slides available on the Investors section of Freshpet website at www.freshpet.com. If you have not accessed the presentation, we welcome you to do so at this time. Finally, please note that on today’s call, management will refer to certain non-GAAP financial measures, such as EBITDA and adjusted EBITDA. While the company believes these non-GAAP financial measures provide useful information for investors, the presentation of this information is not intended to be considered in or isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer today’s press release for a reconciliation of non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP. Now I would like to turn the call over to Billy Cyr, Chief Executive Officer.
Billy Cyr: Thank you, Katie and good afternoon everyone. To begin, I will provide a brief overview of our financial highlights and recent business performance. Then Dick will review our financial results in more detail. I will then discuss our updated business strategy. During that time, you can reference to the presentation slides available on our website. I will then turn it back to Dick to provide our guidance for 2017. Finally, Dick, Scott and I will be available to answer your questions. I continue to believe, unlike many other CPG companies, our challenge is not where to find growth, but which sources to pursue first. The company lives at the intersection of two very powerful macro trends: the humanization of pets and the desire for more natural, wholesome food. The team at Freshpet has responded to those trends to create a strongly preferred product, compelling advertising and a proprietary manufacturing and distribution system that give this company numerous paths to growth. Our challenge is to choose the path with the best long-term return for our shareholders. We begin 2017 very well positioned for future growth. Our plant expansion has been completed and we now have ample capacity for the next stage of our growth trajectory. Our product quality continues to improve. The new advertising message has proven in pre-market testing and in our limited in-market testing to be highly effective. The company’s operating cash flow continues to grow and our major CapEx needs are behind us. Finally, we have strengthened our team. Getting to this position was not easy. There have been bumps along the way, but we have arrived at a place where the company can confidently reaccelerate its growth. It will take increased strategic investments, but we expect to be able to grow net sales more quickly and that will drive greater leverage across our business model, improve profitability and enhance long-term shareholder value. While 2016 was a transition year, we did accomplish quite a bit. We delivered a 14.5% increase in our top line behind increased same-store sales and a strong consumer repeat rate. 11% growth in distribution to 16,609 stores, a 59% increase in adjusted EBITDA to $17.7 million when compared to the prior year. While these results are below what we anticipated at the beginning of 2016, they are consistent with the guidance we provided at the end of the third quarter, indicating the work that Scott and Dick did to stabilize the business in the midst of so much transition last year, is beginning to pay off. That positions the company well to begin its next phase of growth. With that overview, I would now like to turn the call over to Dick, our Chief Financial Officer, who will review our financial results in more detail.
Dick Kassar: Thank you, Billy and good afternoon everyone. I will review our fourth quarter and 2016 financial results and then I will review our annual guidance for 2017. For the fourth quarter, net sales increased 12.8% to $34.1 million over the prior year quarter. Our fresh offering grew 15.2% during the same period. This growth resulted from both distribution and velocity gains, including a 10.6% year-over-year increase in Freshpet Fridges. Gross profit for the quarter was $15.2 million compared to $13.7 million during the same period last year. Gross margin was 44.7% for the fourth quarter of 2016 compared to 45.3% in the fourth quarter last year. Adjusted gross margin was 49.9% compared to 47.5% in the prior year period, excluding depreciation and non-recurring cost associated with our new plant startup. Adjusted SG&A expense for the fourth quarter of 2016 improved to 38.2% of net sales compared to 40.9% for the fourth quarter of 2015, excluding stock-based compensation expenses as well as a minimal true-up of leadership transition expense in the fourth quarter of 2016. Looking ahead, we expect SG&A to decrease, excluding any increase in TV and digital advertising as a percentage of net sales as we increasingly scale our operations and better utilize our existing infrastructure while growing net sales. Adjusted EBITDA increased $2.3 million to $6.4 million for the fourth quarter. Focusing on our balance sheet at December 31, 2016, the company had cash and cash equivalents of $3.9 million compared to $8.1 million at the end of 2015. The decrease in cash is primarily due to expenditures related to the expansion of our Freshpet Kitchens and investments to increase distribution through the purchase of additional Freshpet Fridges. At year end, we had $7 million outstanding of our $30 million remaining credit line. We expect to payback this borrowing during 2017. For each quarter of 2015 and ‘16, we have generated positive cash flow from operations and expect this trend to continue in 2017. Now, I am going to turn it to Billy to outline the company’s strategic plan.
Billy Cyr: Please turn to the company presentation that we have provided, so that you can follow along. Also please note, the Safe Harbor statement on Page 2 and the reference to certain non-GAAP measures in the presentation. Please see the press release or latest 10-K for more information on how to reconcile those measures with GAAP. We have told you in the past that Freshpet has brought the most significant innovation to the pet food category in more than 70 years. By bringing fresh food to pets, we are a first-mover and have revolutionized the pet food isle. We are changing the way pets eat. We received thousands of letters from pet parents thanking us for saving their pets who refuse to eat and overcoming various maladies that pets were suffering from. It is this dramatic innovation, driven by strong consumer marketing and outstanding retail execution, that we expect will lead to strong growth and outpace the pet food industry growth for many years to come. Our challenge is to create an effective and efficient path to growth to not only continue to change the way pets eat, but also to create significant shareholder value. On Slide 3, I conducted the traditional 100-day review of the business when I joined last September. I studied the products and the plant, the customers and the consumer, the marketing and the organization, the category and the competitors and much more. I continue to be impressed and believe that Freshpet has the potential to be a $300 million plus business in 2020. I am glad that I joined the team, but I also learned that we have underinvested in the marketing needed to achieve that goal. And in particular, we have underinvested in our core fresh business in the U.S. To provide a framework of understanding for our strategy ahead, I would like to briefly summarize what I learned in a bit more detail. Slide 4. As I said at the beginning, Freshpet lives at the intersection of two very powerful macro trends in CPG today: the humanization of pets and the drive for fresh wholesome food. A single tailwind is not easy to come by and we have two. Slide 5. The founders of Freshpet led by Scott saw this and built a very strong proprietary position around a breakthrough product innovation. They knew that while human food technology had made major leaps forward, pet food technology was sorely outdated. They created a product with demonstrable product preference, the manufacturing systems to produce it, built out the only chilled pet food distribution system to support it, and defined the marketing message to drive it. This was not easy work and there were many slips along the way, but that is to be expected when you are transforming a category in such a significant way. And the result is one of the strongest and most protectable positions in the pet food and CPG industries. It would be very difficult and expensive for someone to replicate what the team at Freshpet has created. We have a one-of-a-kind manufacturing facility, installed base of 16,600 plus chillers, a category defining brand with a growing reputation for the quality we deliver and the cost advantages that come with the scale we are building. I haven’t seen something like this since Tropicana converted the orange juice industry from the standard 12 ounce frozen concentrated cans that dominated the market for many years to the new categories standard of ready to drink not from concentrate juice. Slide 6, along the way, a different kind of company was created. Freshpet is a thoroughly modern company with environmental responsibility built into the fabric of our operations. Consumer and community engagement is the heart of what we do and a thoroughly engaged group of employees who demonstrate ownership behavior and values every day. I believe those intangible qualities are a core competitive advantage for us. Slide 7, all of that, the exceptional products, proprietary business system and highly engaged employees drove rapid and sustained growth for the better part of the last decade. We consistently added stores and increased sales. One of the things that impressed me most during my due diligence for the company was that it was growing both distribution and sales per point of distribution, at the same time on the vast majority of the SKUs and on the business as a whole. In my experience, that is the markable winner. Slide 8, but as all of you know, the growth rates slowed over the past 2 years and margins have not materialized as planned. There were many potential causes for the decline in the growth rate. Slide 9, one thing I can say with confidence, the decline in growth rate was not caused by a decline in consumer interest. Freshpet’s Net Promoter Score is outstanding, but perhaps the most telling statistic I have come across is that the repeat rate for Freshpet is 71%. That is the highest we have measured in the pet food category. I have been in the CPG business for more than 31 years and that is one of the highest repeat rates I have seen. It is a testament to how good the fresh product – Freshpet product is and how much people love their pets. And it also provides the linchpin that we will leverage to drive this business forward. A high repeat rate means that we can focus on marketing spend on generating awareness and trial because the product proposition itself will generate the stickiness that we need to develop a strong and deep consumer franchise. Slide 10. After my extensive review, I concluded that the single biggest issue we must address is Freshpet’s incredibly low household penetration and awareness. Having a very high repeat rate does not help you much, if very few people know how to try the band. Freshpet’s household penetration is only about 1.4% and household aided awareness is around 35%. Both are well below other fast growing pet food brands. Growing the awareness and penetration is our single biggest opportunity. Slide 11. When I step back, it is very clear to me that Freshpet has arrived at that moment in time where we have the opportunity to rapidly scale the brand. We have an on-trend product with demonstrable consumer preference, reasonable, although they can be improved margins and untapped consumer audience, available production capacity, a very little debt to service, a proven marketing message and sufficient retail distribution to reach to justify extensive marketing. If there ever was a time and an opportunity to rapidly scale this business, it is now. Slide 12. We call our new strategic plan Feed the Growth. It calls on every employee to contribute in some way to growing the Freshpet brand. The roles of the sales and marketing teams are obvious. They must present the brand to more consumers in more places, with a compelling and attractive message and presentation. Our manufacturing team has produced consistent high-quality product and find ways to save money to invest in the marketing. The finance team must use their analytical skills to identify additional savings opportunities. The R&D team must find new and simple ways to drive interest in the winning products we have. Slide 13. To have the greatest impact, we must focus our organizational efforts and resources. That’s our plan going forward, calls for us to tighten our focus and simplify our efforts. We will focus our energy on first, fresh refrigerated products. We have our greatest product advantage on those, with a compelling marketing message to support it and the strongest proprietary position there. They too remain a part of the business, but it will not get the same level of investment that we give to our fresh refrigerated products. Second, channels with highly efficient and reliable refrigerated supply chains. Our biggest white space opportunities are on food, mass and club outlets where we have less than 50% ACV distribution today and yet they still account for almost 80% of our sales, along with pet specialty, where we have built out a more effective supply chain with some key distributors, we will focus on building scale in refrigerated distribution and expanding our reach to outlets we don’t service today. That will deliver the highest quality product to the consumer at the best possible value. Third, the U.S., we are very encouraged by our fledgling test in the UK and we will continue to advance that learning while working to define what the future of our business in Europe looks like. But for the near-term, we will invest most heavily in the U.S. where we have the greatest scale and expertise, the lowest operating cost and a clearly defined and winning marketing plan. Slide 14. Our Feed the Growth Plan has three simple elements; first, drive household awareness and penetration. We need to increase our investment in the proven marketing message we have tested, in combination with the brand’s high repeat rates. They should build a large base of highly loyal users capable of supporting a much larger business than we have today. Our plan calls for increasing our advertising investment by approximately 60% over 2016. This is both in TV and digital. Second, accelerate Freshpet Fridge placements. The one capability gap I identified during my review of the company’s operations was in our selling approach. We are changing that now by better aligning with our customer strategies and providing them with more ways to engage their shoppers with the brand. Today, I believe our customers think that Freshpet is a nice to have optional part of their pet food section to implement when they have enough room for it. We aspire to become an essential component of their pet food sections, no matter how big they are by delivering the large number of high value shoppers to their stores on a frequent basis and generating strong same-store sales growth. We expect that this will ultimately increase the rate of new fridge placements beginning in 2018. Third, strengthen adjusted gross margin. Our technical team has done an incredible job defining and constructing one-of-a-kind manufacturing capability that is sufficient to sustain this business for the next several years. We think that now is the time to turn their attention with the help of our R&D team to optimizing those operations, lowering our costs and increasing the adjusted gross margin. These lower costs and increased adjusted gross margin should support the added marketing investment over time. We have numerous opportunities to increase the throughput, yield and reliability of the operation and are willing to invest to deliver meaningful savings. We have set a goal of significantly increasing the adjusted gross margin and gross profit over the next 4 years. Slide 15. This strategy results in the Feed the Growth model. This is a fairly standard productivity loop that can sustain long-term growth behind continually investing in activities that drive increased scale and more complete cost absorption. And on top of that, we will generate incremental cost savings through solid technical work in our plant. Freshpet is perfectly designed to take advantage of this virtuous cycle at this stage. Slide 16. Another way to look at this is to see how our growth helps us absorb our fixed infrastructure costs. We have significant unused capacity and an organization designed for a bigger business. That is why scaling the business quickly is so valuable to us. Slide 17. We arrived at this strategy towards the end of my 100 days and began several tests in the fourth quarter and continued during Q1 to see if the strategy would work and to what degree. I want to caution that it is very early and we still have much to learn. And we want to be appropriately cautious about jumping to conclusions too quickly. The last thing we want to do is overestimate the results and squander a good idea, because we promised amazing results and only delivered outstanding results. Slide 18. What we have seen so far is encouraging and it gives us confidence to move ahead with the plan. We put our proven marketing message on the year in early September 2016 for a few weeks and then again in January. We expect there to be a bit of a lag from the time the advertising airs until the consumption increases and an even longer lag until it turns into increased shipments. But we have seen both IRI and customer level data show strong increases in consumption over the past two months. Slide 19. In fact since we began airing our new advertising campaign, IRI results in the food channel have been up more than 20% on a consistent basis and the broader multi-outlet measure has been up in the high teens is now exceeding 20%. We are driving growth across all classes of trade and accelerating as our advertising program is getting traction. This is encouraging, but we will continue to watch this closely to ensure that it’s sustained. But as of now, we are quite comfortable with our investment. Slide 20. It will take longer to see any impact from our new selling approach. In the last few months, we have developed and presented dramatically new plans to 3 of our top 10 customers and the feedback has been very encouraging. Those customers have changed their perception of our company and have begun thinking about Freshpet as a strategic necessity in their pet category rather than as an opportunistic addition. We don’t expect that to turn into a significant number of new stores this year, as new fridge placement decisions have very long lead times, but they will result in a variety of retail experiments this year and plans for expansion in 2018 and beyond. And our goal is to make the brand strategic for at least our top 10 to 15 customers and it will take time to develop and implement programs at each of those customers. To help facilitate that, we have revamped and reenergized the relationship with Acosta, our sales agency and expect that renewed programs deliver meaningful benefits for our customers, Acosta and us. Slide 21. Finally, our engineering teams have begun to develop a long list of efficiency improvements we can implement to drive down costs and increase adjusted gross margin. We have several experiments underway and ideas being tested. I want to stress that we will not allow cost reductions to reduce the quality of our products. In fact, we continue to find ways to improve the quality and reliability of our products through standardization and simplification efforts that will ultimately lower our costs. Slide 22. It is also important to note that we plan to focus our R&D efforts on more near-in opportunities and optimization efforts over the near-term. Our existing products are so far ahead of the competition and yet not broadly known. Rather than invest in the next generation of breakthrough new products, we are going to drive the products we have today with a robust collection of relevant product upgrades and news built on our existing technical platform, not new platforms that require massive disruption to our plans. This approach will greatly simplify the challenges for our technical teams and allow them to optimize the systems we have today rather than invent and implement new systems. This is a key enabling choice we have made. Slide 23. As we look forward, you should expect us to deliver an accelerating rate of growth as we progress throughout 2017. You will recall that we ended 2016 with a 13% growth rate in the fourth quarter. We expect to deliver a similar growth rate on fresh in the first quarter, but that will be dragged down a bit by baked, delivering overall growth in the low double-digits in the first quarter. The first quarter marketing investment is also up against a meaningful investment in marketing in the year ago period and we will have the delay between increased consumption and increased shipments I mentioned earlier. We are also streamlining some customers’ inventory to improve our production efficiency and to ensure that the consumer gets the freshest product possible. But you should expect to see the growth rate begin to increase in the second quarter and accelerate from there. And by the end of 2017, we expect to have a run-rate that is approximately 20% ahead of where we are today. As I mentioned earlier, we expect new store growth to begin accelerating in early 2018 and continue beyond that. We believe adjusted gross margin expansion will not begin until the second half of this year and visibility on it will be a bit clouded if we cross a capacity threshold requiring us to add incremental staffing to keep up with the demand. We will do our best to isolate the effects in our reporting. We expect to enter 2018 with an adjusted gross margin run-rate on the mix neutral basis, up 1.5 points versus fiscal year 2016. Our goal will be to accelerate that in 2018 behind the implementation of some of the projects we are testing today. Finally, we expect our adjusted EBITDA margin to begin the year well below the first half of 2016 as we increase our marketing investment quite significantly. It will begin to rebound in the second half of 2017 as compared to the first half of this year, but the full year will be down versus 2016 behind the higher marketing investment. We expect to end the year with an annualized run-rate EBITDA that is approximately 50% ahead of our full year 2017 guidance, which Dick will review. We believe we are making positive strategic marketing investments in our business that will deliver a strong return over time. To be clear, we could have chosen to invest less, generate more EBITDA and grow at a slower rate, but we are very convinced that scaling this business quickly is in the best interest of our shareholders and that the marketing program we have justifies the short-term reduction to our EBITDA. We expect this strategic plan to pay dividends in 2018 and beyond. Slide 24. Longer term, we think the company will become profitable on a net income basis in 2018. The operating model for the company will deliver growth rates in the range of 15% to 20% for the next 2 years, adjusted gross margin in the 50% plus range and the adjusted EBITDA margin in excess of 20% while supporting higher investments in marketing. Basically, we are driving revenue up faster and getting the scale benefits on our SG&A while using increased gross margin to support the higher marketing investment. And we will generate about 15% of net sales and free cash flow. We believe this is a winning model for Freshpet. Slide 25. In summary, the Feed the Growth Plan more rapidly scales the business. It reaccelerates the growth of the business behind a potent advertising message and a greater investment in media. It improves the structural economics of the business by allowing us to grow into the scale we have built and expands our adjusted gross margin. And it sets the company up for more rapid revenue and earnings growth in 2018 and beyond. Slide 26. Ultimately, we believe this rapid scaling plan will create a sustainable competitive advantage that will make Freshpet a very attractive company and investment. We will have the first mover advantage, supporting a strong installed base of chillers and significant manufacturing and distribution scale. We will have extended our operating expertise in this new space to become an even greater differentiator and added a meaningful brand equity to it. Our board and management team believe this is the right plan and we are determined to bring it to fruition. We understand it means we are asking our shareholders to take a short-term pause in the earnings growth they may have been expecting. I assure you that we could have chosen to spend less in advertising and delivered a higher level of adjusted EBITDA, but we are convinced that this incremental advertising investment is the right thing to do, that the evidence supports doing it now and that this is the best way to create the greatest long-term value for the company and our shareholders. So, we are getting behind our Feed the Growth, rapid scaling plan and driving it with all the excellence we can muster. I will now turn it over to Dick who will provide our guidance for 2017.
Dick Kassar: Thanks, Billy. As a result of this new strategy, we expect the following financial results for the year ended December 31, 2017 as compared to 2016. To exceed net sales of $153 million, an increase of approximately 15%, with the growth rate accelerating as the year progresses, to exceed adjusted EBITDA of $16 million, a decrease of approximately 9% and to exceed Freshpet Fridges of over 18,200, an increase of approximately 10%. From a seasonality perspective, we expect our net sales growth to be more weighted to the second half of the year as we realized full benefits of our increased media spend along with increased distribution. We expect adjusted EBITDA to more heavily weigh to the fourth quarter when our expenditures lightened considerably due to the timing of our planned media program, which we will frontload to gain the maximum learning quickly. As a reminder, our adjusted EBITDA represents EBITDA plus loss on disposal of equipment, new plant startup expenses, share-based compensation, launch expenses, leadership transition expense, secondary costs and warrant expense. We see strong growth for our products across our distribution network and we will continue to maintain a strong balance sheet and liquidity to meet the demand and further grow our distribution network. That concludes our financial overview. Billy, Scott and I are now available to take your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Peter Benedict with Robert W. Baird. Please proceed with your question.
Peter Benedict: Hey, guys. Thanks for taking the questions. I appreciate those slides. Sorry a lot there. Two things. First, Billy, maybe talk about this Acosta relationship and program, obviously, you are outlining some nice growth acceleration in the top line, particularly as you get past this year. How confident that you can support that in terms of in-stocks in execution kind of at the retail level? That’s my first question.
Billy Cyr: Okay. Obviously, as we get the velocity cranked up, that is going to be an area of focus for us. We did have a conversation with Acosta and we sat down and looked at what their capabilities are and what our needs are. And what we ultimately concluded is we need to make a couple of changes in the way we are doing business with them and they are better for them and better for us. But one of the most important pieces is we are providing more frequent coverage of stores than we did in the past. We will be back in coverage with them on a basically once every other week kind of basis and that will help us do a better job of creating the awareness of the need to stock the category to train the in-store personnel than what we have had in the past. A second part of this is going to be leveraging Acosta’s relationships at the headquarters level, little bit better than we have in the past by being – and becoming more strategically aligned with the customer. So by that, I mean they have pretty deep relationships with the customer and they have a deep bench of resources in each of their customer team offices and finding ways to get access to those relationships and also to get access to the data that they use on a day-to-day basis to manage the business will help us be much more responsive to what the customers’ near-term and immediate needs are. And I think that’s going to help us in expanding the number of purchases we get out in the stores as well as giving us access for new opportunities for in-store placements and merchandising. There is a lot more detail that goes underneath it, but I would describe it as a kind of a complete change in what it is that we are doing with Acosta. And we feel pretty good about it, but we are also going to watch it and measure it very closely.
Peter Benedict: Okay, that’s helpful. Thanks. And then on the media investment, I apologize if I missed this or if you mentioned it, but on that Slide 24, where you had said media investment, 6% of sales in ‘16 rising to a 9% in 2020, what’s in media investment, how is that different than advertising, just help us understand what’s captured in that number?
Dick Kassar: Actually, that would be – in that media investment, it would be basically all of our marketing communications. So it would include TV and digital and any other communications that we would test the consumer.
Peter Benedict: Okay, thanks. And then my last question, I will turn it over to the other guys. Just you have obviously – we have been seeing in pet food, in general just a channel shift away from the superstores called pet care pet [ph] club and losing probably some share, a trend towards online, what – how are you thinking about positioning Freshpet online within this plan. And then also, how are you kind of thinking about – I guess Acosta is going to help a little bit maybe with that pet specialty, but kind of helping kind of stabilize trends within pet specialty? Thanks.
Billy Cyr: So Peter as you know, about 80% of our business is done in grocery and mass. So we were fortunate we don’t – we are not as affected by what’s going on in pet specialty. What we are seeing is that there is definitely a leveling going on in pet specialty meaning, there were some real declines last year, we are seeing kind of level out. And we are kind of – so we are seeing that balance out. From an online perspective, that was greatly impacted by online, but also everyone else is sharpening their pencils. Specifically with the online, we are involved with Jet and Walmart.com and they are building out refrigerated supply chain and we really like the model that they are building out there. We also have Fresh Direct, Peapod and a handful of other smaller players that are kind of involved in that refrigerated supply space. So we are working with them. We are keeping a close eye on that. And what we anticipate is we are already seeing kind of nice response even in that pet specialty channel due to the advertising that we put in the market.
Scott Morris: I would add to that just quickly, as I said in outlining our strategy, we are really focused on anybody who has got an efficient and effective refrigerated supply chains, we will do business with them. We think our customers, the food, mass customers and the club customers as we develop them they are going to be obviously advantaged on a value basis to the extent that they have a very efficient supply chain. But people develop an online version of a refrigerated supply chain, we will make our products available in those channels, but our real focus is not to build the channel, but to be there when somebody builds a refrigerated supply chain that works.
Peter Benedict: Alright, great. Thanks very much.
Operator: Thank you. Our next question comes from the line of Jason English with Goldman Sachs. Please proceed with your question.
Jason English: Hi guys. Thank you for let me ask the question. Interesting sort of plan of attack on the forward, I think it makes a lot of sense, obviously it requires a bit of faith, but I wish you the best of luck, I think it makes tremendous sense. To dig into a few of the details, the pie chart in terms of business mix was a little surprising to me, given that through the first three quarters, based to your 10-Q disclosure, your pet specialty was running at around 22% of sales, to a drop to around 19% for the full year, it implies sharp, sharp 30%, 40% type drop in the fourth quarter, is this apples-to-apples, is this sort of kind of what happened if so, kind of building on the last question, can you give us some more context, because I know it’s not a huge chunk of your business, but if it’s going to be down that much, that’s obviously a problem?
Dick Kassar: Well Jason, when we break it out, we group together natural and pet together. So you are looking at that where those two together adding up to 22%. And what we have done in this pie chart is refrigerated food mass club, naturals in that grouping. We have broken out pet specialty separately here. And that’s the 19%. So we don’t anticipate to see really a drop off at all. We actually anticipate to see a slight gain throughout the year. Pet specialty lagging behind the overall growth of the business, but we definitely – and we are already seeing that, it’s getting some growth out of the pet specialty piece. But I think the mass that you are trying to kind of cross-link there is the natural piece is actually brought into that 77 piece of the pie.
Jason English: Okay, that’s a relief. That’s good, because it was a little nerve-racking before when I do the math. Second question in terms of magnitude of the spend, I think you said you are going to take E&P up around 60, is that the 6% of sales, which I think equates to around $8 million, growing by 60%, which is going to get you around 8 in change as a percentage of sales, is that where we are applying the 60% to?
Billy Cyr: Yes. We had 6% basically for the last several years and we have decided to take it up to 9%. And we have disclosed previously, we have spent $8 million to $9 million in media, and we are looking at a number 60% higher than that for 2017?
Jason English: Got it, okay. And then last question Billy, you mentioned – I know the last time when we sat with you, you talked about your top to top discussions, a lot of key retailers, it sounds like you walked away with some insight in terms of how you could re-jigger your selling approach out there, I think in the prepared remarks, so you said you don’t expect fruits of those labors to be born until we get to 2018? And my question then is why is there a degree of conservatism there, do you think we could actually start to see some unit growth pickup in the back half of the year? There it is, I will leave it there and pass it on.
Billy Cyr: Yes. I mean it just gets back to what is the cycle for our customer’s decision making. So for example, one of our largest customers has already made all their decisions for this year for where the new placements will be. So any incremental efforts that we make at kind of revamping our selling approach and better aligning our strategy, just really only going to have the impact on the implementation they do starting in February of 2018. We have had conversations at a very senior level with some of the top customers and kind of aligned with the strategies. But the new strategies were much more engaging or labor consuming or time-consuming. Meaning, we have to connect with more points within the customer in order to get to the implementation that we want to get. And so that will inherently take us a little bit longer. And the hope is that as we get into those pads, instead of picking up 1s and 2s, we start picking up larger chunks of stores as a result of the more intensive effort we put in with the customer. We think that’s the case. Our early work would suggest that they are engaged with that level, but we haven’t seen enough results. So is there some conservatism, I would say it’s realism based on where we are today. And I would love to be accused of being conservative later on.
Jason English: Right on. Alright, thanks a lot guys.
Operator: Thank you. Our next question comes from the line of Mark Astrachan with Stifel. Please proceed with your question.
Mark Astrachan: Thanks for taking our question. We have noticed you have expanded the test with Tesco in the UK, could you please talk about how that happened, considering the U.S. focus we are hearing today?
Billy Cyr: That’s a good question. Yes, we – the test in the UK is expanding because the early results were good. We are still managing that as a business that we are trying to refine, and figure out what the model ultimately looks like. We supply that out of the United States. We have a small team on the ground there that is able to help us operate it. But until we really figured out that model, the investments there will be rather limited. Having said that, we are very encouraged by what we see. We think the long-term prospects are really good. But there is some work to do to figure out exactly how then – how to make that model work the best. And yes, it is a very significant expansion in the number of stores, but the financial investments that we are making is rather limited.
Mark Astrachan: Thank you. And also any update on the CASCO test and how does that fit with the new focus?
Dick Kassar: So absolutely, club would be a key part of our focus, along with grocery and mass. We continue to make slow but steady progress across all of our club channels and specifically in CASCO. And it’s something that we don’t anticipate to be a key growth driver this year. We think the key growth drivers will be really on our grocery and mass piece of businesses. But club is continuing to develop and every club is obviously highly valuable and highly productive. We think that, that will have more of an impact on the business actually in 2018.
Mark Astrachan: Thanks a lot.
Dick Kassar: Thank you.
Operator: Thank you. Our next question comes from the line of Robert Moskow with Credit Suisse. Please proceed with your question.
Robert Moskow: Thank you. There are two questions, Billy and Scott, I remember hearing that a couple of the obstacles here with big customers was one, they are skeptical about whether some of these refrigerators would succeed in lower income demographic regions and whether the refrigerators would earn their square footage space there. And then the other one was getting them to participate in managing the inventory in the stores. Are you still having those conversations, I suppose? And is that what you mean by pushing to get – to expand the distribution faster or you are making any headway in getting them to push those stores into lower income regions, first of all? And then a follow-up.
Billy Cyr: Rob, let me start framing the way the customers are thinking about it. The skepticism, there is this thought amongst many of our customers that as a premium priced product that this is a product that’s not appealing to a wide socioeconomic base. But if you think about how successful we are in 2,000 Walmarts and a variety of other stores, that’s catered to a lower income or more moderate income group, you have to conclude that the brand does have much broader reach than just a higher socioeconomic group. And the challenge for us is I have kind of gone at this is customers think about us 1 store, a store at a time. Meaning they think about in terms of what are the demographics for that store? And also how much space do they have in that store? And that’s a good way to think about it and a lot of ways that’s been the way they got to where they are today. But I think we have demonstrated enough success across a broad enough range of socioeconomic groups that I think customers now need to think about it in a more strategic way as then we are an essential part of the category and start thinking about it’s not one store at a time, but think about it as a brand that they would reach across their channel, across all their stores. Are we going to work in every single store? I don’t know that, that’s the case, but I certainly think that a customer who had this – where we are successful in 45% of their stores certainly should be successful in 75%, 80%, 90% of their stores, because the stores that are still out there that remain possible for us are still very similar to stores that they are already in. So, I think that the way we need to change the customer’s thinking is from store at a time to thinking about this as now an essential brand in the category. And if you have the kind of growth rates that we have got and then the trends that we have got on the growth line, you look at it, you say, boy, this is a way in which if you are in the pet business, this is the way for you to get some really meaningful growth, because we are becoming a big enough player where our growth can mean real dollars to the retailer. And we do deliver pretty good margins to them. On the second question about the replenishment part, that will remain an issue until we just kind of work at it day in and day out and making sure that we get the in-store conditions where we wanted to be, that’s what we are working on with Acosta. Acosta knows what we expect of them and we are working on that pretty hard. But I also am a believer that as we built the scale of business when we get more velocity, as we get more velocity, the store personnel will learn a little bit better that this is an essential category to keep in stock. So, I think in that case, scale will help us a little bit.
Robert Moskow: Got it. Yes, that’s good. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Bill Chappell with SunTrust Humphrey. Please proceed with your question.
Bill Chappell: Thanks. Good afternoon. Hey, Billy, just one question, obviously there is a lot I understand the media spend and the push behind that and kind of reintroducing the brand. But what about, there is – it seems very little in terms of increasing trade promotion or sampling or kind of the other alternative in terms of building brand awareness. What was the kind of the thought process of going so focused on kind of the straight media spend versus doing both that and trade promotion, because it doesn’t seem like they will have any impacts on gross margin over the next few years as you kind of ramp up support?
Billy Cyr: Well, I guess the way I describe this is media is the first most immediate, the most proven and that’s where we are going to start. But when I described the interactions that we have with the customers is part of becoming a more strategic partner, one of the things we are looking for is ways in which the customers can choose to invest behind our business to get a disproportionate amount of the growth in their market. So part of our conversations with them are how do we connect our efforts with what they are doing, recognizing that we don’t like to see price discounting in the market. We really like the pricing position that we have. We don’t want to see a lot of discounted price. We want to be a product that sells everyday at full price if we can. And so the efforts we look at will be things that might be more like in-store sampling or sampling opportunities, selling sample sizes, connecting with their click and pick programs, which we think is a great vehicle for us, where the consumer orders online and then they pick it up in-store, but we – at the store, but what we can do is market to them online as a way to help drive those purchases. So, the idea here is each retailer has a different set of marketing strategies that they use to reach the kinds of shoppers that are most interested in. And we need to partner with them on those programs as a way to help drive the business. That’s the nature of the conversations that we are having with the customers. That ultimately will turn into some form of partnership spending that we will have come out of our marketing spend, but I certainly hope it doesn’t turn into price discounting.
Bill Chappell: Okay. And then just one last, maybe I missed this, but why is 9% the right number, why not 7%, why not 10%, what’s magic about 9% in terms of where you should be in terms of marketing spend?
Billy Cyr: 9% is our best guess today based on a – looking at a little bit of external benchmarking as well as what our testing so far would suggest. We will be smart enough to continue to revisit that as we go along, but the best indication right now is that, that’s about the right level that would support the kind of growth that we think we need to sustain this business going forward.
Bill Chappell: And how would that put you within peers?
Billy Cyr: Well, in terms of the percent spent on advertising, what you are asking?
Bill Chappell: Yes, exactly.
Billy Cyr: Yes, I don’t know that benchmarks are there. Yes, we are probably going to be – because we are starting at a smaller scale, we will probably be on the higher end. The data that we looked at showed people starting there as they were emerging. And then as they got built-in scale, they ultimately grew into the spend and so the spend numbers came down as a percent of revenue. But we are giving you a horizon here out through 2020 at which our scale will still be smaller than what many of the people are that we are benchmarking. So there is percent of revenue was much smaller, but was on a much larger scale of revenue.
Bill Chappell: Got it. Thanks so much.
Billy Cyr: Yes.
Operator: Thank you. Our next question comes from the line of Eric Gottlieb with D. A. Davidson. Please proceed with your question.
Eric Gottlieb: Yes, thanks for taking my question. So I am just trying to get a sense around the $300 million by 2020, can we talk geographies and also channels, like what do you expect the mix to be when we get to that point?
Billy Cyr: So, the focus right now is that the growth that we described in getting to the $300 million, we think we can get there within the – with the U.S. and the Canadian business that we have today and with a fledgling European business. We are not depending on significant growth in Europe to be a driver of getting to that $300 million number. If you think about how much untapped potential we have in the U.S., either looking at our low household penetration, we are looking at the fact that we are only 45% ACV in the food and mass channels, you could quickly see that we could double this business and still not really get to levels that are stretching credibility, where you need to get into new channels of distribution or into new geographies. So as you look and model our business going forward, you ought to model it on the channels that we are in and just expect that we continue to grow them out both in terms of the number of stores as well as the velocity in those stores.
Eric Gottlieb: Okay. And in terms of the stock out issue that I guess it was brought up a little bit earlier, what kind of an opportunity do you think this is? Like, if this gets straightened out, what do you think this is going to add, like how much sales are you losing because product just isn’t being stocked right?
Dick Kassar: And we think it’s somewhere in the neighborhood of 4% to 5%. It’s one of these things that it’s pretty difficult to tell and it’s something that if we can get it fixed, initially, it would kind of return that type of number. But then it becomes kind of a longer term annuity for the business. I mean, it’s one of the situations where someone comes to a store, their products not in there is a high likelihood they are going to choose another product, but there is also a likelihood that we aggravate someone and we lose them from the business. So, it’s upfront. It’s kind of a small single-digit but long-term, we think it’s a real core to building the business, which is why we are investing in that. We are changing the structure around how we are kind of covering retail. And we are really asking for the retailers to help step up and partner with us because of the opportunity that the brand presents to them.
Eric Gottlieb: Okay. And then of the growth, if I am doing my math right, we are going to double sales essentially, 38% has been coming from new stores and the rest is going to be coming from increase in sales per store, including those new ones? Some of that is going to be that stock out issue and some of that is going to be just increased turn. I am thinking out loud here, I don’t even know if there is a question. I am just wondering if – is that the way you are thinking about it as well?
Billy Cyr: Yes.
Eric Gottlieb: It’s mostly I would say increase in sales per store?
Billy Cyr: Yes. I mean one of the things is – that we have been watching closely lately is, we look at how many new stores we get and we also look at what our velocity is. And we have seen over the last call it, what, three months to six months, where the growth in velocity improvement versus the amount of growth that’s coming from velocity increases versus from new stores, it’s got – the gap has gotten bigger. More of it comes from velocity. And frankly we think that to be expected when you get the advertising going. If you increase the advertising, you should expect that to drive velocity fairly considerably.
Eric Gottlieb: Do you keep track of stores that may have fallen off, we only see like the net number at the end of the year, but I am curious how much added versus subtracted?
Dick Kassar: Yes. We absolutely do keep track of both and there is – one of the things that’s pretty dynamic is as you could imagine, especially in your smaller stores, there is always kind of store closings and there is always store openings and that makes it fairly dynamic. But we keep track of both and we report a net number.
Eric Gottlieb: Okay. But that – alright, I think that’s it for me. Is there any kind of education program to kind of counter this stock-out issue other than just increasing scale and than figuring it out?
Dick Kassar: Yes. And that would be done on an individual retailer basis, but also we were having Acosta help support that program at retail and educate at retail. But as I was mentioning, it’s going to be important that many retailers that look at this, they realize the opportunity. And that they are helping to educate their operations team to support this. And it’s a unique situation that we are delivering into a refrigerated area of the store and it’s being stocked in pet. So that complexity takes them to overcome. Now the one thing we do know is the longer we are in a store, the more – the less problems we typically have. The store personnel get trained over time. The more often they are going to our fridge, the more likely it is to get stocked, because it just becomes a habit. So that’s how we kind of see it developing, but it is part of its education, part of it’s us giving a helping hand. And we do – we have seen and we have done kind of same-store tests, where we have looked, broken it out and we have seen improvements in the programs that we are putting in place. So it’s something it’s going to take quite a while to I would say, resolve. And it’s never going to be perfect, but we can make good progress on it.
Eric Gottlieb: Okay. And one last question and I will pass it on. Is there any pricing built into your 2020 outlook?
Billy Cyr: No.
Dick Kassar: There is not.
Eric Gottlieb: Okay, alright. Thank you.
Operator: Thank you. Our next question comes from the line of Jon Andersen with William Blair. Please proceed with your question.
Jon Andersen: Good afternoon everybody. Most of my questions have been answered, just one or two. First one, I get the investment in media spending will drive awareness and hopefully trial and repeat and I guess that can have a – that should over time have a beneficial effect on the fridge placements, but is there anything you are doing or have considered doing from an investment standpoint in driving placement of new fridges rather than later, I am thinking of that different kind of sized fridges, configurations of fridges, maybe investments you can make very to accelerate that as well?
Billy Cyr: We have looked at – and we have in kind of our inventory, several different scenarios from a fridge standpoint, size and heights, because there is lot of unique situations that we see at retail. So we are looking to kind of broaden our fridge portfolio to kind of meet more the needs at different retail situations. But also we are – as we are developing, especially with key retailers, we are developing partnerships. We are looking at different ways to get them comfortable with the investment and figuring out how they can utilize many of the tools that they have in order to help drive velocity, drive consumers to the fridge and then that would facilitate fridge placement. And one of the other things that we have done is we actually have a small inventory of what we are calling test fridges that will allow us to put them into certain locations, evaluate the performance of those fridges and really get both of us comfortable with the investment and the retailer comfortable with the placement in those stores. And it allows us to kind of make a really educated decision as part of a partnership.
Jon Andersen: Okay, thanks. One quick follow-up, I think Billy mentioned earlier that something like, I think it was 3 out of 10 of your large customers now deem Freshpet as I think a strategic – and I am just I am wondering, is that 3 out of 10 because that’s where you have kind of started your discussions in kind of further along in terms of the relationship development there. And then once a top customer makes this kind of shift to considering the relationship is strategic, does that give you the opportunity to may be knock off bigger chunks of their kind of store base at one time or is it really kind of more of you are always going to be kind of a door by door type of kind of rollout process? Thanks.
Billy Cyr: So the strategy shift that we have made is to go into the customer and talk to them – our biggest more strategic customers who have lots and lots of data about their shoppers and have very distinct strategies for how they want to build their business. And we have gone into those customers and sat down with them and asked them, what are their strategies broadly, what are their strategies in pet category, what is the role that we can fill, what is the role we have been filling. And rather than just laying out for them an economic opportunity, we have been trying to figure out how we can help them use our brand, our assets, the resources that we bring to better help them deliver their strategies. We have had those conversations with a couple of retailers. We have not had it with all 10. We have had it with about three of those retailers so far. And when you have those kinds of conversations, what you realize is, you now get invited into the next level of discussion. And the next level of discussion is where you are now talking about bigger chunks of stores, more intensive involvement on their part, rather than just having a transaction where we place a fridge in and the consumer, given the opportunity to buy the product. But now we started talking about merchandising opportunities and how we can co-market together. And we are just in the early stages of that, so I don’t want to promise anything behind it. But we have now gone to that sort of next level of the conversation. We have a couple of the key retailers and our expectation is that that’s going to turn into bigger chunks and in new stores. And in the stores we are already in, more intensive engagement with them. And we believe that we will start seeing the benefits of that in 2018. But it’s very intensive work. I mean it’s not – it’s no longer just sell-in the fridge and do the work to do the installation. It’s now you have got to engage with them in a variety of ways, everything from with their data and their data analytics, whether it’s their loyalty card or shopper card with their digital marketing program, with their curbside marketing program, whatever it is. There is a lot more points of engagement. It takes longer and it’s more complicated, but we think it ultimately leads to bigger returns.
Jon Andersen: Thank you and best of luck going forward.
Billy Cyr: Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back to Billy Cyr for closing comments.
Billy Cyr: We appreciate all of the questions and support. And please don’t hesitate to reach out to the folks at ICR if there are any further comments or questions. Thank you very much.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.